Frank Maao: Good morning, and welcome to Telenor's Q4 2025 Results Presentation. I'm Frank Maao, Head of Investor Relations, and our Group CFO, Torbjorn Wist, will take you through the presentation today. As previously communicated, our CEO, Benedicte Schilbred Fasmer, is not here due to a planned surgery. And as you can see, we've a packed agenda, including an update on dividends and capital allocation. Before we get started, a few quick notes. All service revenue and EBITDA growth rates are organic and made on a constant currency basis as always. When we mention EBITDA, we're referring to adjusted EBITDA. Note that this time, Telenor Pakistan has been booked as discontinued business and is thus excluded from the P&L figures that we show you today. And with that, I'll hand you over to Torbjorn.
Torbjorn Wist: Thank you, Frank, and good morning, everyone. Now let me start by saying that Benedicte is recovering well from her surgery, and she sends her warm regards to all of you. We certainly look forward to welcoming her back. Now knowing Benedicte, I wouldn't be surprised if she has joined us online to follow this exciting results presentation. Now what a year we have behind us. We closed 2025 with strong operational momentum and disciplined execution across the Nordics and Asia. Our results underline some clear messages. First, we delivered a strong Q4 that brought our full year financial performance in line with the outlook we communicated earlier in the year. Our customer first approach and disciplined operation enabled us to deliver EBITDA growth of close to 9% in the Nordics despite brisk competition, particularly in Finland. Our full year free cash flow before M&A reached NOK 12.9 billion for the year, in line with our around NOK 13 billion outlook and financial ambitions since 2022. The free cash flow, including M&A, was NOK 17.3 billion in '25. Secondly, consistent with the strategy we outlined at our recent Capital Markets Day, we continue to simplify the group portfolio, reinforcing the group's Nordic center of gravity. We remain committed to long-term value creation in our remaining Asian assets. The third message today is that we propose to make the 16th consecutive increase in dividends per share and prepare for a NOK 15 billion buyback program. And I will come back and talk more about the capital allocation and distribution later in the presentation. Now 1 year ago, right after Benedicte and I stepped into our roles, we outlined our priorities for the first year. These included strengthening customer centricity and reinforcing our people and execution culture, sharpening our focus on return on capital, and delivering on our 2025 financial ambitions, including our strong commitment to shareholders on dividends. One year later, I'm pleased to say this is exactly what we have done. During the year, we evolved and refreshed our strategy, which we presented along with the detailed financial ambitions to the investment community at the CMD in November. Over the last months, we have also stepped up on execution on portfolio simplification, closing the clean, and I underline the word clean, exits from Pakistan and Allente, and last but not least, with the agreement to sell Telenor's ownership in True announced on the 22nd of January. The True transaction represents significant value creation for our shareholders as we will be exiting Thailand at more than 3x the NOK 12 billion market value we had in dtac at the time we started the merger talks with True 5 years ago. All in all, we are pleased with these steps to further sharpen the group's focus. Now as mentioned, delivering on the '25 outlook was a top priority, and I am happy to confirm that we delivered on all parameters. During the year, we saw solid operational performance in the Nordics, in line with the outlook provided for all three parameters and an EBITDA growth of 5.8% for the group compared to the outlook of 5% to 6%. Note, however, that the 5.8% excludes Telenor Pakistan, as Frank mentioned initially, while our outlook included Telenor Pakistan. If Pakistan had been included in the actuals, EBITDA growth for the group would have been 1 percentage point higher. As such, we outperformed the outlook on this metric. And as mentioned in the highlights, free cash flow before M&A ended at NOK 12.9 billion, in line with our guidance. Then moving to the highlights for the group financials. Group service revenues reached NOK 15.3 billion, up 2.6% year-on-year. Adjusted EBITDA increased 11.7% to NOK 8.6 billion, driven by the strong performance in the Nordics, while being helped 3 percentage points by effects related to accounting adjustments and reversals. In Q4, adjusted EPS was NOK 2.21, a material uplift from last year. Free cash flow before M&A came in at NOK 4.1 billion, up 33% year-on-year. The group CapEx to sales ratio was 15.5%, 4 percentage points lower than in the same period last year. For the Nordics, the ratio was 17.2% for the quarter and 14.3% for the full year. The leverage ratio closed the year at 2.2x, returning to its target range, mainly driven by positive year-on-year effect in total free cash flow. Now as we repeatedly stated, driving return on capital employed, return on investment and the like over time remains a top priority for us. We are pleased to note that for the last 12 months, ROCE came in at 9.2%, up 1 percentage point over the previous quarter. If you exclude the associated companies, the group ROCE would have been 13.6%. Then zooming in on the top line. The group service revenue growth of 2.6% year-over-year remained constrained by macro conditions in Bangladesh. If you exclude a VAT adjustment in Norway and a revenue correction in Grameenphone, both in Q4 last year, the underlying growth for the group would have been 1.8%. Our Nordic business area was the main contributor, as usual, while underlying growth was flat in Asia. Now turning to OpEx. OpEx declined by close to 2% in Q4, helped by relentless cost focus throughout the group, a NOK 75 million withholding tax reversal related to Telenor Pakistan in other group OpEx and OpEx adjustments in the Nordics in the same quarter last year. Adjusted for these effects, OpEx was practically flat year-over-year for the group and for the Nordics. In the Nordics, OpEx in Norway increased by 3.4%, mainly caused by high activity related to robustification and transformation, as previously flagged, as well as reparation expenses following the Storm Amy. Now sales and marketing expenses also increased in the Nordics, in line with the expectations we shared with the market early last year. Moving to group EBITDA, which grew strongly at 11.7% in Q4. As you can see from the chart to the right, all business areas contributed to this growth, even though the main part came from the Nordics. Amp delivered significant improvements across most of its businesses and Infrastructure continued its stable EBITDA growth. EBITDA contracted in Asia. However, this was due to timing of internal cost allocations between the Asia headquarters and the Telenor Group. Then regarding the reporting segment called Other, which mainly consists of our corporate functions, in Q4 '24, a retroactive true-up was made for internal charges from Asia to the Other segment, while in '25, these charges were more evenly spread out through the year. On the chart to the right, we have visualized this effect. As you can see, the negative year-on-year in Asia from these timing effects offset the similarly positive year-over-year effect in the other segment. Finally, excluding this effect, the other segment also contributed meaningfully year-over-year, largely explained by external revenues in Telenor Procurement Company, which tends to vary significantly between quarters. The positive growth contribution from group eliminations was due to the mentioned NOK 75 million reversal. Now clearly, 11.7% is a significant number compared to recent quarters. In this regard, note that 3.2 percentage points is a result of the mentioned effects I talked about earlier. Adjusted for this, EBITDA growth for the group would have been 8.5%. Then turning to revenues in the Nordics. The Nordics continued to deliver top line growth in line with recent trends. This quarter, we reported 2.8% organic growth, driven by our more-for-more strategy. Adjusted for the reversal effects I mentioned pertaining to Q4 last year, the service revenue growth would have been 2.5%. Norway was the largest contributor but we did see solid execution and solid contribution from across our Nordic markets. We grew mobile service revenues 4% driven by ARPU uplift across all markets in addition to customer growth in Sweden. Fixed service revenues grew only marginally with growth in both Norway and Finland being offset by active base management with focus on profitability in Sweden, as we've talked about in previous quarters. Across markets, churn continued to rise. We also expect a significantly sharpened price competition in Finland. We nevertheless added 59,000 new postpaid customers in Sweden and Denmark during the quarter, while seeing a total of about 24,000 prepaid -- sorry, postpaid subscribers leave us in Norway and Finland amid high promotional seasonality. I'll now take you through each market in some more detail. Norway remained the strongest contributor at 2.9% growth, underpinned by healthy ARPU trends with 5% for mobile and 6% on fixed broadband. In Sweden, mobile service revenues rose 4.5%, offsetting a 5% managed decline in fixed service revenues as talked about. And we posted strong mobile net adds of 45,000 in Sweden, helped by a successful Black Month with strong traction in 5G broadband. In Denmark, service revenues grew by 3.6%. A new development is that all Danish operators have increased list prices over the last months. Still, the market remained highly promotional in Q4. In the Finnish market, we saw a more visible presence of the new MVNO as well as deep promotional discounts led by one of the network operators. While DNA defended its customer base well amid elevated market churn, the price level on incoming subscriptions was significantly dilutive compared to DNA's back book ARPU. Still, DNA grew mobile service revenues by 4.3%, driven by upselling, solid commercial execution and a larger mobile subscriber base compared to last year. As a result, DNA kept its postpaid smartphone base steady during the quarter as the negative net adds were driven by a prepaid cleanup and some decline in mobile broadband. Total service revenues rose by 3.9%. Overall, Nordic's 2.8% service revenue growth reflects continued strong performance of our value-driven commercial strategy, despite broadly pronounced seasonality and increased competition in Finland. Now moving to EBITDA. EBITDA growth in the Nordics came in at 8.7% for the quarter. Gross profit was up more than 4%, supported by upselling, pricing, product mix, wholesale revenues and the fixed transformation in Sweden. Ongoing transformation programs helped reduce OpEx by 0.7% despite higher commercial activities and increased spending on robustification. Yet again, Norway remained our top contributor with 9.3% EBITDA growth, helped by the VAT reversals in the same quarter last year. An additional 5 percentage points of growth came from the national roaming agreement, and adjusted for these factors, EBITDA growth would have been about 3% in Norway. In Sweden, the continuation of the mentioned fixed transformation had a positive impact on gross profit, which grew 3.4%, contributing to the 11% growth in EBITDA. Further helped by disciplined OpEx and customer service transformation efforts, this brought EBITDA to the 40% margin, which is a milestone for Telenor Sweden, which just surpassed the incumbent on this metric on a last 12-month basis. Even when excluding the VAT-related reversal last year, EBITDA growth was still rock solid at 7.6%. Telenor Denmark continued to execute commercially while relentlessly tweaking cost, leading to an EBITDA growth of 5.8%. The small OpEx increase was mainly due to higher commissions from external retail. DNA both grew its top line while cutting back on costs, resulting in a 6.6% organic growth in adjusted EBITDA. This is quite impressive result given the demanding market conditions just described in Finland. Now in summary, we are pleased with the continued strong execution in the Nordics. Now then let's move over to Asia. Before enjoying the fireworks on New Year's Eve, we closed the sale of Telenor Pakistan, which is now out of the books. As a consequence, our Asia revenues and EBITDA, as charted on the left side of this slide, are nominal NOK amounts that only reflect Grameenphone in addition to the cost of regional Asian hub in Singapore. Grameenphone delivered organic service revenue growth of 3.4% in the quarter. But as you can see, the NOK amounts came down due to a weakening -- a 14% weakening of the Bangladeshi taka. Note that when adding back the accounting corrections last year, Grameenphone revenues and EBITDA were basically flat year-over-year amid cautious consumer spending environment and continued tough price competition on data. Grameenphone was just recently awarded important spectrum resources in the 700 megahertz band at the reserve price, which will be key to improve indoor and outdoor coverage for our customers going forward. As for the associated companies, the major event was the recent announcement of the True exit, which will be a two-stage deal, as mentioned earlier. This transaction is a major value creation milestone for Telenor as it concludes our 25-year history in Thailand. Benedicte and I would like to thank both current and previous employees that have contributed a big part of their lives to this fantastic journey. Note that we expect to close the first sale of the first tranche before True will pay its Q4 '25 dividend. CelcomDigi managed to improve commercial execution in its third quarter, swinging back to top line growth. While Q3 EBITDA declined due to higher data costs and bad debt, the company paid out a stable dividend in Q4. We continue to work with partners to support CelcomDigi in strengthening its associated 5G company, DNB, whose financial situation was, as described in their own report, distressed. Our goal is to ensure a setup with more efficient use of spectrum resources and network assets to the benefit of customer and society in Malaysia. DNB is expected to secure an additional 100 megahertz of key mid-band spectrum ahead of the government's planned exit in Q2 '26, which will be a helpful step for the company. Now finally, we have noted a lot of speculation about our other Asian assets in the wake of the recent announcement of the sale of True. As such, let me be clear, as an active owner, Telenor is a committed partner for long-term value creation in both Grameenphone and Celcom Digi. And the sale of True should not be interpreted as signaling any imminent or near-term plans to sell our other Asian assets. Now then let's turn to Amp, which delivered a strong quarter. At our recent CMD, we presented a focused approach to portfolio management in Amp. Part of that is to develop companies close to core within security and IoT, and we saw meaningful progress in several business units but would highlight two here. Firstly, KNL made a strong contribution on both revenues and EBITDA. Now KNL offers mission-critical services for defense, more precisely software-based and ultra-secure tactical defense communication solutions for use over long distances. Crucial to this progress were deliveries on contracts with the Swedish and Finnish national defense forces announced earlier in the year. This is a truly scalable business with telco margins but far higher growth, and we look forward to see what the future holds for KNL. Secondly, the largest -- Connexion, the largest single contributor to Amp's EBITDA and cash flow on a yearly basis. This company is the #5 IoT player in Europe and #10 globally within managed IoT connectivity. In Q4, Connexion delivered 9% organic revenue growth, thanks to its solid volume growth, achieving 24% year-over-year growth in its global SIM base. EBITDA in Connexion was, however, affected negatively as FX and OpEx growth weighted on the margins. Overall, we are pleased with the development of the Amp portfolio, which is seeing continued value uplift from a net asset value perspective. Further details on this, including a portfolio overview, can be found on our website. Then moving on to the profit and loss highlights for the group. We're pleased to report that strong growth in adjusted EBITDA and net profit from associated companies drove adjusted EPS to an 89% increase in the fourth quarter while growth reached a solid 24% for the full year '25. In terms of special items and notable swing factors this quarter, other income and expenses was higher than last year due to increased scrapping of IT equipment as well as workforce reductions. The NOK 0.5 billion fourth quarter fluctuation in net financial items was due to fair value changes related to True. And finally, there was a NOK 3 billion loss on the discontinued line in addition to a NOK 0.4 billion tax expense in conjunction with the divestment of Telenor Pakistan. Next, let me walk you through the main variables behind our free cash flow before M&A of NOK 4.1 billion in the fourth quarter. In addition to our EBITDA of NOK 8.6 billion, we need to add back the discontinued contribution from Pakistan of NOK 0.5 billion since this was part of our cash flow in the quarter. As indicated, we had a solid contribution from working capital, including about NOK 900 million from the use of handset financing. We received NOK 1.3 billion in dividends from associates and CapEx paid amounted to NOK 2.9 billion, of which NOK 2.2 billion came from the Nordics. Telenor Sweden made a scheduled NOK 390 million prepayment on its share of the multiband spectrum license won in '23, bringing the total spectrum spend for the group to NOK 0.5 billion in Q4. On the M&A side, net cash proceeds included NOK 4.6 billion for the sale of Telenor Pakistan, along with NOK 0.6 billion for the sale of Allente on top of the pre-closing dividend the company paid. And this led to a total free cash flow of NOK 9.1 billion this quarter. Now then let us take a look at our leverage ratio. Our leverage ratio edged down to 2.2x, within our target band of 1.8 to 2.3. The net debt reduction happened despite a NOK 1 billion increase due to NOK weakening during the quarter and the NOK 6.3 billion payment related to the second tranche of our dividend paid out in '25, which was now more than by the mentioned NOK 9 billion free cash flow in the quarter and the deconsolidation of NOK 1.8 billion in net debt relating to Telenor Pakistan. Then let me move on to shareholder remuneration. Telenor has a 16-year track record on delivering on our dividend policy of year-on-year growth in ordinary dividends per share despite significant structural divestitures in the same period. The group has changed over time, as you know. Over time, this ordinary dividend has been complemented by extraordinary dividends and share buybacks when appropriate. As you may recall, we reconfirmed our strong commitment to our dividend policy at our CMD in November. Adding another year to our track record, the Board has proposed a dividend for '25 of NOK 9.7 per share for approval at the upcoming AGM with payments happening in June and October 2026. Now then let me move on to the use of proceeds from True once the transaction has been completed. At the recent CMD, we explained our capital allocation priorities and our return mindset as part of the value creation engine of Telenor. How we distribute capital back to shareholders is a very important part of our capital allocation priorities. We need to ensure that we are effective and targeted in how we allocate capital to the best projects to create and compound value over time expanding the return on capital employed. This includes organic reinvestments, but also value-accretive inorganic investments that help us strengthen our customer proposition and enable us to drive further scale and efficiencies. We are now preparing to allocate the first NOK 32 billion of proceeds to be received from the first tranche of the sale of 25% in True. And we plan the following use of proceeds: NOK 15 billion will be allocated to a share buyback program, and I'll give you more details on that in a minute; NOK 11.5 billion will be allocated to repayment of the EUR 1 billion bond, which matures now in May; and NOK 6 billion will be allocated to finance the closing of our announced acquisition of GlobalConnect's Norwegian consumer fiber division likely due in the second quarter. The remaining NOK 7 billion to be received from the second tranche of True in a couple of years, we will deal with the use of proceeds at that point in time. We will be retaining some extra financial flexibility near term to consider further value-creating acquisitions in the Nordics. We will be looking at opportunities that offers attractive long-term return on capital by driving customer reach and satisfaction, scale and efficiencies. Now to the extent that sufficient inorganic investments would not materialize, we will, of course, consider further return on capital to shareholders to ensure balance sheet efficiency while protecting our credit rating. Now then let me talk a little bit more about the buybacks. The Board has stated its intention to initiate a share purchase program over 3 years once the first sale of shares in True is completed. The buybacks are to be confirmed each year by the AGM. The objective is to support per share value accretion and dividend coverage by reducing the number of shares over time. As in the past, our stock exchange repurchases will be executed by a broker on an arm's length basis and will be made in full compliance with market abuse regulations. The exact time to completion may therefore depend a little bit on the liquidity of our shares on the Oslo Stock Exchange. As usual, the Norwegian state is expected to participate with its proportional share of ownership in line with historical practice. So then if I move on to the financial outlook. The financial outlook is in line with our indications at the Capital Markets Day. Our mid- and long-term ambitions remain unchanged and are shown here only for context. For 2026, we expect a low single-digit growth in service revenues in the Nordic. As for Nordic's EBITDA, we see mid-single-digit growth while we forecast CapEx to sales, excluding leases, of around 14% in the Nordics. Please note that we do foresee quite significant variations between quarters in '26. While we have solid momentum into the start of the year, in Q2, the Nordics is facing a particularly tough comparable period. Firstly, we benefited from particularly favorable timing of back book price increases in Q2 last year. Secondly, the year-on-year uplift from the national roaming contract in Norway will be lapped in mid-March. We had around NOK 550 million in national roaming revenues from Lyse in '25, which was more than originally expected. We have said we would expect these wholesale revenues to start fading during '26 and particularly in '27. Following this week's news from our competitors, this remains our view. Our best estimate is currently that these revenues will be around the same level in '26 as last year, although quite low, if at all present, in 2027. I might add on this that in terms of the financial ambitions for '28 and '30, there are no national roaming revenues. In Bangladesh, we are, of course, hoping for a gradual macro upswing following the February elections, but we find it prudent to have modest expectations. For the group, we anticipate adjusted EBITDA to grow in the low to mid-single digits. A key sensitivity for the outcome will be the shape and strength of a potential macro recovery in Bangladesh. Finally, we forecast free cash flows before M&A, excluding dividends from associates and incremental spectrum, to come in at between NOK 10 billion and NOK 11 billion. We expect to see a somewhat back-end loaded profile on this metric in '26, similar to '25. All in all, outlook for the current year reaffirms our overall traction and long-term trajectory. To conclude, in '25, we delivered on our financial ambitions. We are executing on the strategy of top line growth through customer excellence, efficiency through transformation and overall simplification, including becoming more of a Nordic-centric group over time, and we are executing on our long-standing commitment to capital distribution to our shareholders. With this, I would like to hand the word back to Frank.
Frank Maao: Thank you, Torbjorn. Good presentation. We will go through then to the analyst Q&A. And as usual, please limit yourself to only one question and, if needed, a quick related clarification follow-up to give your colleagues a chance to ask their question as well. So operator, please go ahead.
Operator: [Operator Instructions] Our first question will come from Sofija Rakicevic with Goldman Sachs.
Sofija Rakicevic: Just one question for me, and that is, what potential headwinds are you factoring in your medium-term Nordic EBITDA outlook given that underlying 2025 growth for this year is around 5% and a bit more than that if we exclude Ice and one-offs? And you're guiding for mid-single-digit growth in 2026. So what do you expect to deteriorate on an underlying basis over the medium term?
Torbjorn Wist: Yes. As far as our outlook is concerned, the -- of course, the market will continue to be competitive as it has been in all our Nordic markets. And we expect this to continue, whilst at the same time, we will, of course, do what we can to strengthen our competitive position with our leading network position in Norway and a strong network position in the other areas to ensure that we compete on a normal basis. So we don't have any particular headwinds over and above the normal competitive behavior. Competition has always been tough and will continue to be tough. And those are normal assumptions that we have into our overall ambitions going forward. So in terms of the forecast for '26, we have been clear on that there will be step-ups on sales and marketing spend to ensure that we defend our positions. At the same time, we will continue to push forward on our strong transformation program as we have over many years now to ensure that we offset these effects. So that gives us comfort that the forecast for '26 in terms of our Nordic expectations is something that we believe we can deliver on well.
Operator: Our next question comes from Ondrej Cabejsek from UBS.
Ondrej Cabejšek: That took a while. And let me join Torbjorn in wishing Benedicte a speedy recovery, if indeed she is listening. I just wanted to follow up on the point that you made in terms of capital allocation opportunities in the Nordics as a key focus area for you going forward. And I just wanted to understand from where we are standing today, what in your view are some of the key hurdles preventing you from moving ahead? And when do you expect these to be cleared?
Torbjorn Wist: Sorry, which hurdles are you referring to then, Ondrej?
Ondrej Cabejšek: So some of the -- well, there are clearly hurdles, I guess, when you're looking at the capital allocation opportunities in the Nordics, which you mentioned, which Benedicte mentioned in the summer, et cetera.
Torbjorn Wist: Yes. No, look, we -- first of all, we obviously don't comment on specifics. But clearly, we've been very clear at the Capital Markets Day that we see ourselves becoming more of a Nordic-centric group over time. That means, of course, that we will be looking at value-accretive opportunities that will help strengthen our footprint in this region. And the regulatory hurdles that you may allude to will, of course, depend on whichever transaction would be considered. What is key for us is to ensure that any transaction is value accretive, will strengthen our customer offering, ensure that we get scale and efficiencies that will help drive return on capital employed. And we will, of course, have a good process with the regulators, as we do in any particular deal, to ensure that we maximize the chance of success for whatever we decide to pursue. But if we don't find appropriate opportunities, then we will, as mentioned in my presentation, of course, consider further returns of capital to shareholders.
Ondrej Cabejšek: And if I may follow up on this. So obviously, we've had the development in Norway, where Telia is now signing the RAN with challenger Ice, which you are now hosting. Is this something that is placing a bit more urgency on you to kind of do anything in the Nordics?
Torbjorn Wist: Not this deal in and of itself. Just a couple of comments on this one. We are, of course, used to network cooperation, and we have that in some of our other Nordic markets. As I mentioned in my presentation, the revenue effect, we do expect revenues from this agreement to be similar to last year in '26, but then taper off. We don't have any NRAs into the future plan. I think what this deal really brings to the forefront is that Norway is the only market that we remain regulated in. We believe it's long overdue that this regulation is removed and particularly now with the creation of a strong second network. So our strong message to the authorities will be now is the time to take away this regulation for the future. As far as them pulling together their network assets or whichever structural form they do it, we're used to competition. We've had competition here for a long time. We are the leading network in our way, both on scale, coverage, quality. And we will, of course, continue to defend that position and, of course, invest in services, whether it be cyber or entertainment in order to reinforce the strong customer relationship and the market position we have here in this wonderful country.
Operator: Our next question comes from Christoffer Bjornsen with DNB Carnegie.
Christoffer Bjørnsen: Can you hear me?
Torbjorn Wist: Yes.
Christoffer Bjørnsen: Great. Yes. Congrats on all the exciting news over the last period. I just wanted to kind of follow up on the Telia JV thing and trying to ask a question without asking the question. But given that, I would expect it's fair to assume that they are a decent customer both Lyse and Telia in the tower business, can you maybe help us understand a bit like what the exposure is there? Like are there significant overlaps where they could consolidate? I think I saw in the local accounts of the TowerCo in Norway that the external revenues was about NOK 650 million in 2024. So just trying to gauge in the longer term for that 2030 target of NOK 14 billion to NOK 15 billion of free cash flow, what kind of effects could be there in like a base and a bear case scenario or -- yes.
Torbjorn Wist: Yes, on our towers we have been working consistently to, of course, raise the tenancy ratio, which, of course, is other operators using our infrastructure. As far as -- if there should be, call it, an effect from this -- the recently announced agreement between our two competitors, we estimate that we have about NOK 120 million to NOK 160 million potential negative revenue impact from 2027, which is about 4% to 5% of the towers revenue. I think -- so it's not something that we deem substantial. There are other parties like emergency network, et cetera, that is on our infrastructure. So it's about 4% to 5% or NOK 120 million to NOK 160 million. And we don't anticipate that to hit before maybe '27 at the earliest. I would like to add that using infrastructure, co-locating on towers is, of course, a capital-effective way. So whether or not they will decide to remove this NOK 120 million to NOK 170 million remains to be seen.
Frank Maao: NOK 160 million.
Torbjorn Wist: NOK 160 million. Thank you.
Frank Maao: And mind you, that's due to the overlap that is present in the colocation of the towers between the two parties.
Christoffer Bjørnsen: All right. That's helpful. And then just finally to follow up on the Bangladesh, you mentioned the spectrum award there and so on. Still there are material parts of the portfolio coming up for like renewal or expiry later this year. Can you give any indications of how confident you are that there will be timely auctions and whenever they could end up being?
Torbjorn Wist: I don't have any new information on that. These will be renewals, and I'm sure that there will be an orderly process there. We were satisfied with the 700 auction and the result of that. And so we'll deal with the renewals when the time comes.
Operator: Our next question comes from Felix Henriksson with Nordea.
Felix Henriksson: The question is on Finland, where you saw a tough competition in Q4. The market leader, last week commented that they've seen some easing in the environment in January with one of the MVNOs becoming a bit more passive and also the market leader raising prices also followed by the peers. Do you sort of agree with this? And have you seen easing in the competitive environment in Finland into Q1?
Torbjorn Wist: Yes, we see the same or have the same observations of what's happening in the Finnish market. It was a very competitive December, but that seems to have normalized then into January.
Felix Henriksson: Okay. Fair enough. And then if I may, just with a quick follow-up, partly unrelated, apologies for that, but I noticed that Bangladeshi CapEx in Q4 were still quite low. I think you've commented that you plan to ramp that up a bit into 2026. So can you sort of confirm that, that is still the plan? And if you have anything to share about the expectations regarding the spectrum renewals in Bangladesh as well?
Torbjorn Wist: As I think I've covered the spectrum renewal in Christoffer's question. But as far as the CapEx is concerned, we've been very clear that Bangladesh is a country where there is a voice to data transition going on. We have, of course, now secured low-band spectrum, which is critical for excellent indoor and outdoor coverage of data in the country. So that will, of course, entail some CapEx. We have -- due to the macroeconomic situation in the country, we have been very prudent in how we release CapEx into the country so that we're not pushing in a lot of CapEx when the market environment is very muted. So we continue to release CapEx on a quarterly basis. And that is also to ensure that we help protect the cash flows in the business. Top line has been challenging. I think the team has done an excellent job in terms of managing costs there. So of course, we are very mindful to ensure that we release CapEx on a staged basis, but that there will be some increase in CapEx to ensure that we strengthen our data position is something that we have clearly flagged, but we will always do this in a very disciplined manner.
Frank Maao: Yes. And I might add that we're not going to see a big surge in the CapEx even in case of a decent macro upswing. It's a more normalization to what you've seen in the past. Thank you, Felix. For the coming questions, I would remind you to please stick to one question and potentially a related follow-up. Thank you. Next question, please.
Operator: Our next question comes from Keval Khiroya with Deutsche Bank.
Keval Khiroya: You're still waiting for the GlobalConnect deal to be approved in Norway. Do you see merits of exploring other fixed deals in the Nordic footprint? Or do you think mobile is the main focus for Nordic M&A?
Torbjorn Wist: Yes. Look, I'm sure you would love for me to answer detailed on that question, but which areas and which companies we will be looking at is something that you would hear about along with everyone else at the same time. But we have, of course, now taken a step in strengthening our fiber position in Norway with the proposed acquisition of GlobalConnect. And it's, of course, natural that we will look at both mobile and fixed in the years ahead, given that both are an important part of the critical infrastructure we provide.
Keval Khiroya: Great. And just by way of follow-up. You mentioned that you will explore Nordic M&A. And if not, if that doesn't -- if that's not available, you could return additional capital to shareholders. I appreciate you can't be precise on timing of M&A, but is there any form of time line by which you want to decide whether to still leave that capacity for M&A or actually explore giving additional returns back?
Torbjorn Wist: Well, I think we've obviously announced a significant return of capital to our shareholders today with the proposed ordinary dividend as well as the NOK 15 billion buyback. So we will have to come back and update you as and when we see potential for additional return on capital in the absence of any value-accretive opportunities.
Operator: Our next question comes from Fredrik Lithell with Handelsbanken.
Fredrik Lithell: I would like to listen a little bit to you digging into your OpEx and what your plans are for OpEx in 2026 in the Nordics, not maybe so much on the actual numbers, but on the operational work you intend to do or that you have ongoing that will sort of give you effects in '26 would be interesting to hear.
Torbjorn Wist: Yes. I think we obviously spent quite a lot of time on the transformative efforts and initiatives at our recent Capital Markets Day. So sort of to -- could be a very long answer, if I'm going to go dig into all those details. But clearly, we continue to work on getting rid of what I refer to as technology debt, which, of course, ties up a lot of costs. These are important aspects of managing down operations and maintenance costs. It is ensuring we drive down the cost of procurement, using common products to ensure we get scale benefits. It is deploying AI in the consumer side, the networks and IT. We've talked about use of shared services where we have added additional elements into shared services. And then, of course, local markets will also have some specific -- market-specific transformations ongoing. So that kind of gives you a flavor. We have extensive programs running that are being coordinated and are being very well run, and they will continue full force into '26 as well.
Frank Maao: And I may add, as we said on the Capital Markets Day, '26 will be kind of on a peak level when it comes to the implementation costs related to some of these transformative efforts, particularly in Norway and Denmark.
Fredrik Lithell: Okay. So it's fair to assume that you see in front of you a slight sort of OpEx decline sort of on fixed FX figures in '26.
Torbjorn Wist: Well, as Frank said, in '26 there are still costs related to the transformation efforts, which we'll carry out through the year. As we've been clear on the past, in Denmark, we have a big BSS project on the go. So it is -- but of course, the transformation program will continue with some local variances, depending on where they are in their relative transformation efforts. But the areas that I touched on, whether it be shared services, getting rid of technology debt, procurement, those are things that will span across.
Operator: Our next question comes from Ulrich Rathe.
Torbjorn Wist: Ulrich, are you there still?
Operator: I believe we have lost Ulrich. So we will take our final question from Ajay Soni with JPMorgan.
Ajay Soni: Yes. So the question was just on Sweden. You mentioned that some of your growth there came from 5G broadband net adds. So just wondering what the contribution was from that and what that currently represents within your mobile base? And then I'll just ask a follow-on now, which is that is this going to be an area of growth, given that you've been phasing out maybe some of the less profitable fixed lines in the last year or so?
Torbjorn Wist: Yes, I don't think we're going to go into sort of trying to break out what contribution that we'll give. But clearly, focusing on our sort of the mobile broadband effort, as you talked about. It will definitely be key. We added, I believe it was about 12,000 5G broadband in the quarter in Sweden. And that, of course, is an important contribution to the growth in this particular area. And I think Telenor Sweden is doing a phenomenal job in pushing this product going forward. And I think that's -- the great thing is to see that in combination with the cleanup of the fixed portfolio that they have been working on, which has contributed so strongly to the growth in gross profit and hence, EBITDA in the country. Okay. If that -- that was the last question, operator?
Operator: There are no further questions.
Torbjorn Wist: Okay. All right. Well, in that case, let me use this opportunity to thank everyone for listening in, and I wish you all a very good day. Thank you.